Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hormel Foods Corporation Second Quarter Earnings Call on the 21st of May. Throughout today’s recorded presentation, all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) I will now turn over the conference to Jana Haynes, Director of Investor Relations. Please go ahead.
Jana L. Haynes: Thank you. Good morning. Welcome to the Hormel Foods’ conference call for the second quarter of fiscal 2014. We released our results this morning before the market opened around 6.30 A.M. Eastern Time. If you did not receive a copy of the release, you can find it on our website at www.hormelfoods.com under the Investors section. On our call today is Jeff Ettinger, Chairman of the Board, President and Chief Executive Officer; and Jody Feragen, Executive Vice President and Chief Financial Officer. Jeff will provide a review of the operating results for the quarter. Then, Jody will provide detailed financial results for the quarter. The line will open for questions following Jody’s remarks. As a courtesy to the other analysts, please limit your question – yourself to one question with one follow-up. If you have additional queries, you are welcome to get back in the queue. An audio replay of this call will be available beginning at 10.30 A.M. Central Time today, May 21, 2014. The dial-in number is 1-800-406-7325 and the access code is 4679596. The audio replay will also be posted to our website and archived for one year. Before we get started with the results of the quarter, I need to reference to the Safe Harbor statements. Some of the comments made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed in, or implied by the statements we will be making. Among the factors that may affect the operating results of the company are fluctuations in the costs and availability of raw materials and market conditions for finished products. Please refer to pages 28 through 35 in the company’s Form 10-Q for the quarter ended January 26, 2014, for more details. It can be accessed on our website. Now, I’ll turn the call over to Jeff.
Jeffrey M. Ettinger: Good morning. We announced record second quarter earnings this morning of $0.52 per share, up 13% over last year. Operating profit increased by 14% with four of our five segments registering gains this quarter. In terms of the top line, we generated record sales of $2.24 billion, an increase of 4% over last year with a 1% volume decline. I will now take you through each segment. Our Grocery Products segment profit increased 16%, aided in part by a favorable comparison to fiscal 2013, which included SKIPPY peanut butter acquisition cost. Dollar sales were flat versus last year. We have now left our acquisition of the SKIPPY peanut butter business. so we are no longer providing quarterly segment sales without SKIPPY peanut butter sales. Higher pork, beef and avocado input costs, squeezed margins in our Grocery Products segment. To mitigate these higher costs, we increased prices during the second quarter on our SPAM family of products, Hormel chili and Dinty Moore stew. These products, along with Hormel Compleats microwave meals, all experienced year-over-year sales declines. We also increased prices on our Wholly Guacamole products. Sales gains in Grocery Products were led by SKIPPY peanut butter, Hormel bacon toppings and the HERDEZ line of products within our MegaMex Foods joint venture. We are excited about our new SKIPPY Singles peanut butter items launched this quarter. These six packs of single-served, one and a half ounce cups are offered in SKIPPY Creamy and SKIPPY Natural Creamy varieties and are excellent for on-the-go meals or snacks. Segment operating profit for Refrigerated Foods was up 38%. Higher pork operating margins and growth in our foodservice area, more than offset margin pressures due to higher raw material costs. Sales for Refrigerated Foods increased 10%, led by retail sales of our Hormel Black Label bacon, Hormel REV Snack Wraps and Hormel Country Crock side dishes. We also enjoyed sales growth in our Foodservice businesses, including such items as our Hormel FIRE BRAISED Meats, Old Smokehouse Pecanwood Smoked Bacon, and Natural Choice deli meats. Segment volume was flat compared to last year driven by reduced commodity sales, as we increased internally utilization of raw materials in our value-added products. Our Foodservice team continues to focus on meeting the needs of our customers with our latest innovation, Hormel Bacon 1 fully cooked bacon. This product delivers a crisp, delicious, pre-cooked bacon that performs in taste like it was cooked from raw. Segment profit at Jennie-O Turkey Store increased 2%. As we discussed on our call last quarter, the unusually cold winter along with abnormally high propane and natural gas prices, negatively impacted our live turkey productivity in margins, because turkey’s average at 22-week growing cycle. these higher cost turkeys were marketed in our second quarter and will continue to work through our system. We have also experienced lower bird weights impacting volumes throughout our system to Jennie-O Turkey Store segment reported second quarter dollar sales, 1% lower than last year with a volume decline of 5%. Other macro conditions including lower corn costs and higher turkey commodity prices, along with growth in our value-added product sales allowed our Jennie-O Turkey Store team to generate at least a modest increase in operating profit during the second quarter. For example, our investment in Make The Switch media campaign drove heightened consumer interest in the featured product, Jennie-O fresh ground turkey tray packs and ground turkey chubs. Our Specialty Foods segment reported an operating profit decrease of 26% and a sales decrease of 12%, largely driven by the expiration of the agreement in July of 2013 allowing Diamond Crystal Brands to sell certain sugar substitutes into foodservice trade channels. Our Specialty Foods scheme was able to generate gains in our nutritional products business during Q2. Our International & Other team turned in another strong quarter. segment profit increased 34% and sales grew 23%. this is the first full quarter in which we are including our SKIPPY operations in China. Strong export sales of SKIPPY peanut butter and fresh pork along with growth in our China operations, drove the positive results. Looking ahead to the second half, we expect elevated beef, pork, turkey, and avocado costs to continue to squeeze margins on many of our value-added products. Pricing actions taken this quarter will partially mitigate margin pressures, but will likely impact sales growth. on the other hand, the addition of the SKIPPY peanut butter business has added additional balance to our portfolio, moderating some of these overall input cost pressures. We anticipate pork raw material supplies that tighten significantly later in our third quarter, impacting our great food segment. Our team has done a good job preparing for these potential raw material challenges. due to anticipated lower hog supplies, today, we notified our Fremont, Nebraska employees that we will reduce our harvest operations to four days a week beginning in June. We will work closely with our employees and customers to keep them up-to-date on any additional changes that may impact them. The overall impact of tighter pork supplies on our industry remains to be seen. We continue expect the year-over-year sales and profit growth from our Jennie-O Turkey Store segment, our growth will be at more modest level than initially anticipated. Finally, we are enjoying significant growth in our international segment and look for this to continue going forward. Taking all of these significant factors into account, we are maintaining our fiscal 2014 guidance range of $2.17 to $2.27 per share, but expect our full year earnings to be toward the lower end of this range. The elevated input costs due to tighter supplies of many of our raw materials are transitory in nature and will normalize over time. Until then, we believe our experienced team will navigate these challenges and continue to deliver growth. At this time, I will turn the call over to Jody Feragen to discuss the financial information, relating to the second quarter.
Jody H. Feragen: Thank you, Jeff. Good morning, everyone. Earnings for the second quarter of fiscal 2014 totaled $140.1 million or $0.52 per share, compared to $125.5 million or $0.46 per share a year ago. Dollar sales for the second quarter totaled $2.24 billion, compared to $2.15 billion last year, a 4% increase. Volume for the second quarter was 1.22 billion pounds, down 1% from the same period last year. Selling, general and administrative expenses in the second quarter were 7.4% of sales, down from 8% of sales last year. Selling, general and administrative expenses were higher last year due to SKIPPY related transactions and transition costs, totaling approximately $9 million, and primarily reflected in the Grocery Products and international segments. For the full year, we expect selling, general and administrative expenses to be between 7.3% and 7.6% of sales. Equity in earnings of affiliates was $3.6 million in the second quarter versus $7.2 million last year. The decrease is largely the result of higher input costs at our MegaMex Foods joint venture. Advertising expense for the quarter was $34.8 million, compared to $26.1 million last year. The increase was the result of the new Make The Switch ad campaign for Jennie-O Turkey Store and advertising for Hormel chili and SPAM luncheon meat. Interest expense for the quarter was $3.1 million, unchanged from last year. We expect interest expense to be $12 million to $14 million for fiscal 2014. Our effective tax rate in the second quarter was 34%, versus 31.5% last year. For fiscal 2012 rate was lower due primarily to the benefit of settlements with various foreign and state tax jurisdictions. For fiscal 2014, we expect the effective tax rate to be between 34% and 34.5%. The basic weighted average number of shares outstanding for the second quarter was $263.9 million. The diluted weighted average number of shares outstanding for the second quarter was $270.4 million shares. Depreciation and amortization for the quarter was $31.9 million, versus $31.3 million last year. we expect depreciation and amortization to be $125 million to $128 million for fiscal 2014. Total long-term debt at the end of the quarter was $215 million unchanged from last year. Capital expenditures for the quarter totaled $40 million, up nearly $17 million over last year. For fiscal 2014, we expect capital expenditures to be approximately $140 million to $150 million. At this time, I will turn the call over to the operator for the question-and-answer portion of the call. Rodney?
Operator: Thank you. (Operator Instructions) The first question comes from Farha Aslam of Stephens Incorporated. Please go ahead.
Farha Aslam – Stephens, Inc.: Hi, good morning.
Jeffrey M. Ettinger: Good morning, Farha.
Jody H. Feragen: Good morning.
Farha Aslam – Stephens, Inc.: Two questions, the first one on your core business. could you just give us more color on the REV Wraps, and now that it’s been in the market for a while, how it’s performing, and the second one is on again, on your core business on the Compleats side, it looks like your shelf-stable microwavable meals just are soft and any actions you’re taking to turn that around.
Jeffrey M. Ettinger: Thank you, Farha. In terms of REV, we’re really quite pleased with the progress of that relatively new product line. We’re hitting just about the one-year anniversary of it being available broadly in the marketplace. We’ve already hit our trial goal with the product and we’re very close to hitting our repeat purchase goal as well. To give you a sense of scale of the product line, I mean the IRI reported sales, whether you look at the last 13 weeks or last four weeks and extrapolate out on a full year basis, we’re at a pace right now of $50 million to $60 million, so that’s really a quite nice introduction. As we’ve talked about in the past, it’s not presently contributing to Refrigerated Foods segment profit in any meaningful way, because this is an investment time for that brand both in terms of advertising and slotting, but we’re very pleased with the progress thus far. Compleats is a slightly different story, where we continue to see sluggish sales, when it comes to that product line. There are certainly some products within the line that are doing well, including our new Compleats breakfast items. but overall, I would say that is a watch out for us. Our team is earnestly looking at different ways to either present the products in terms of the packaging, or in terms of what should be in the product line, pricing strategies, you name it, but we recognize that we need to restore growth in our Compleats product line.
Farha Aslam – Stephens, Inc.: Great. And then as a follow-up, you have a very strong balance sheet, and M&A is very prevalent in the space right now. Could you give us some commentary on what you’re seeing in terms of transactions, what’s of interest to Hormel, and any thoughts you’d have in terms of international versus domestic?
Jody H. Feragen: That’s a lot of questions. Let me try to answer them. First of all, we like to look for acquisitions that would add to our strategic platforms, certainly, those that are in growing categories and we certainly like number one or number two. We like them to be accretive to the segment profits, as well as accretive to the company as a whole. And we’re always looking for something where we bring more than just the checkbook to the closing. Certainly, anything that offers the opportunity to expand in the international area would be equally, or if not more appealing. So that’s kind of some of the things, if you look back at the SKIPPY transaction, that’s really what we got with that, so certainly looking for some of that. As far as transactions, where there has been a lot of them some expected, some unexpected. So I would say there’s probably some divesting of orphan brands like SKIPPY was, and then probably some consolidation, so a mixed bag there.
Farha Aslam – Stephens, Inc.: And anything that’s of particular interest to you?
Jody H. Feragen: I have nothing to comment on right now.
Farha Aslam – Stephens Inc.: Okay, thank you.
Jody H. Feragen: Thank you.
Operator: The next question comes from Robert Moskow of Credit Suisse. Please go ahead.
Robert B. Moskow – Credit Suisse Securities LLC: Hi, thank you.
Jeff Ettinger: Good morning, Robert.
Robert B. Moskow – Credit Suisse Securities LLC: Good morning. I’m just wondering if you Jody, whether you feel like this is the cut-in guidance, is it going to be enough? because as I look at the back half of the year, the back half still requires quite a bit of operating profit growth in order to be delivered. You’ve talked about the impact of the PED virus hurting your access to supplies, rising costs. And I think Jeff; I think you said that these price increases will partially mitigate to higher input costs. So it sounds like the back half is tough. You have a very tough comp in fourth quarter. What are the things that are going to help you deliver the back half?
Jody H. Feragen: Bob, I think there are some – certainly some unknowns and we’ve done our best job of making estimates of what those impacts are going to be for us. I will tell you that the macro industry conditions, relating to the hog supplies probably is hitting us a little later than we originally anticipated, but we’ve done our best job in factoring that. We have a few levers we can pull as far as making sure that some of the businesses have the appropriate investments to drive their business.
Jeffrey M. Ettinger: I guess the only thing that I could add is, I mean at a segment level, to add to Jody’s comment, I mean we think Refrigerated Foods is still in a position to be a strong contributor in Q3, given the delay and impact that we just discussed. And then, by Q4, we expect Jennie-O Turkey Store to be in a position to be providing positive growth, because they worked, by that time, they worked through these weather related issues that we’ve referenced.
Robert B. Moskow – Credit Suisse Securities LLC: Okay. Is your outlook for Q4 for Jennie-O, is it any lighter than it was before, or is your fourth quarter the same as it was, because before you were talking about fourth quarter being a very strong quarter for turkey.
Jeffrey M. Ettinger: The only remaining challenge that that group will be confronted with is that the grain picture is not as positive today as it was when the year started. So then that all comes down to how successful they are at balancing that against other production costs or pricing actions. but at this point, we do expect it to be a very solid quarter for them.
Robert B. Moskow – Credit Suisse Securities LLC: And the spike in commodity turkey prices that happened recently is that a net positive for you in fourth quarter or is it kind of neutral?
Jeffrey M. Ettinger: It’s a positive, but it’s not a massive positive and we really don’t sell a lot of commodity turkey meat in the scheme of our overall operation, obviously, it’s a focus on value-added. But clearly, we would acknowledge that that’s a positive for the group.
Robert B. Moskow – Credit Suisse Securities LLC: Okay. Thank you, I’ll pass it on.
Operator: The next question comes from Akshay Jagdale of KeyBanc. Please go ahead.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: Good morning.
Jeffrey M. Ettinger: Hi, Akshay.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: Hi, first question just on SKIPPY. Can you give us a little bit more color on how the business is performing in the U.S. and internationally?
Jeffrey M. Ettinger: Sure. We’re very pleased with how SKIPPY has been performing. The most recent quarter was a high single-digit sales gain in the U.S., so that’s very strong. I think we’re doing that on the basis of some of the distribution gains, we’ve referenced in the past and having more effective promotions on the product line. And then we expect to complement that by fall with a new ad campaign to really kind of again, remind the SKIPPY consumers about this great brand. In terms of the outside of the U.S. sales, I mean we’re just now kind of getting China online in terms of, we really don’t have the comps there. The non-China comps were up as well. So overall, we’re pleased with where SKIPPY is in both the U.S. and international markets.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: And just a follow-up to that and more broadly, can you give us an update on your marketing plans for this year? You’d started off with a pretty significant increase in marketing and if I remember correctly, the budget last year was around $100 million and you were expecting it to be up almost 30% this year. Can you just give us an update and let us know if anything has changed per se in that particular plan?
Jeffrey M. Ettinger: Yes. we do expect to still have a significant increase year-over-year in terms of our marketing spend. It won’t probably be at the 30% level, it may be more like 15% to 20%. For example, we’ll be coming out a little bit later with the SKIPPY campaign. We really want to make sure we got the messaging right, and we think the timing it to the back-to-school time is more effective than say an earlier summer launch, so that is one budgetary change we’ve made. But overall we do expect to be in the kind of might be the 115 to 120 range in terms of those expenditures.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: But there the only change here is you sort of delayed some of the investments on SKIPPY, it’s a timing issue, correct?
Jeffrey M. Ettinger: Well, SKIPPY I mean, once we do come out with it we’ll certainly put a solid effort against an effort that will then overlap into fiscal 2015. So yes there is a timing change at least in relation to SKIPPY.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: Okay and just on this commodity cost pressure issue and your view that it’s temporary, can you give us a little bit more color on what product categories and more importantly, from a modeling perspective, I mean where does that flow through? It seems like Grocery Product is probably the division that’s hit the most by it but you also have a significant value added presence in Refrigerated. So can you give us a sense as sort of where you’re seeing more of the weakness from a segment perspective? And then just a little bit more color in terms of what products are getting impacted and are you taking more pricing now and as such when that flows through the margins should normalize?
Jeffrey M. Ettinger: Actually I would agree with the characterization that I think the Grocery group probably has the most franchises that are impacted by what the cost pressures we’re experiencing right now. Our outlook would be that when it comes to say the pork prices, that we do think this will – it’ll be several month process but we don’t think there’s been a systemic change in the cost picture in the pork industry. The beef price increases everybody kind of saw coming and certainly is a little bit more of a systemic challenge, I think in the long run they are expecting to build beef herds back but that’s not going to happen overnight. We mentioned avocados pressures those are kind of related to the drought in California, although we don’t source significant avocados from California. It is a Global Market ultimately and so when those supplies tighten up or expected to tighten up when prices go up we’ve experienced cost increases even from our supplies in Mexico, Peru and Chile, as well. We clearly the value-added items within the Refrigerated Foods group are also being impacted by the cost increases. Our Foodservice team has been more successful to date in adjusting pricing to match up against new cost reality, but our retail Meat Products group is catching up and should be in a position to be back in a balance before the year is over.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: So just to be clear, what changed internally from an input cost and sort of margin expectation? Is it just that the cost escalated more than you were expecting and as such, there’s just a lag, or is it that the pricing is not as effective and that is not, you’re unable to pass it through?
Jeffrey M. Ettinger: It’s really on the cost side. We talked about the impact of our operations in terms of the sort of expected four-day work week in June in Fremont, and so clearly from a hog intake standpoint that we’re expecting the impact to our organization to be sort of kind of late third quarter early fourth quarter. But the price impact of what’s going on in the country in terms of pork supplies was very pronounced during the second quarter and very sharp and that’s always probably the hardest scenarios when we get a quick, deep increase in cost. Trim costs, selling costs, you name it, they’ve rocketed up and those have been very difficult to price against.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: Just one last one for Jody. Can you give us a little bit color into the cash balance that went down pretty significantly this quarter? It seemed like it was working capital related, but it was a little bit unusual at least from my expectations. Was that something you were expecting, or can you give us a little bit more color into what drove that?
Jody H. Feragen: Sure, you’re right. Working capital was a big use of cash for the quarter. We saw a pretty significant inventory build, part of that was driven by just those rapidly rising costs that were going into our products, so not necessarily more tonnage, but higher costs. And then also driven by, I think, some of the comments that we’ve made about preparing for these potential holes in the hogs where we’re taking certain of our valued primals and having them be in storage so we have enough supply for later. So those would be the biggest drivers on the inventory. We did see a reduction in our payables, specifically related to the timing of the tax payment. So that was expected. And then really from a free cash flow standpoint, our CapEx spending is up year-over-year and that as we messaged even from the beginning of the fiscal year, we’re making certain investments in productivity improvements, we have new vendoring operation that’s kind of just the cost of doing business that will be much more efficient with that. And then adding some capacities certainly the new bacon one product resulted in some expenditures to get that product launched, so a mix of some not repair and maintenance, but ongoing upgrades to existing facilities, as well as some new expansions. So those would be the biggest. I would expect by the end of the year that we will get our inventories down at some more normalized levels, but really trying to work through these difficult times that we’re expecting.
Akshay S. Jagdale – KeyBanc Capital Markets, Inc.: Thank you. I’ll pass it on.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson – Goldman Sachs & Co.: Yes, thank you. Good morning. Maybe first to kind of get a little bit more on the PED side, just trying to get a sense of if the impact of summary, you announced the closing of our reduced work weeks in one of your plants. If the impact is as you expected it would be, if it’s been more pronounced and a longer tail and characterize how the evolution of PED has shaped up relative to your expectations.
Jeffrey M. Ettinger: Okay. For our operations, Adam, it came a little bit more slowly than maybe we had originally feared, but clearly at this point based on our conversations with the producers with whom we have contracts, we expect tightened numbers now for the summer and that’s what led us to go at our four day work week. Clearly a number of other processes in the industry had already made that move. There were other regions of the country where the impact of the illness that hit earlier, and so I think their tightening of numbers had already occurred. The other thing that everyone in the industry is monitoring is sort of is the recovery side from it and I think everyone would tell you at this point it’s not a 100% recovery yet. That’s what you seek to accomplish when you have an outbreak like this, but the entities that once they’ve kind of had the exposure to it and they get back into operation, they are not in many cases hitting the 100% level and so that’s a little bit of a wildcard for us as we head into the latter part of the year or even early next year, in terms of what kind of numbers we might see.
Adam Samuelson – Goldman Sachs & Co.: Got it, and so it’s really at this point too early to think about how long this tail can be, your discussions with your suppliers for the next few months will be the big determination on what the pork supply looks like in the first half of your fiscal 2015?
Jeffrey M. Ettinger: Yes, definitely an impact into Q4, but yes, kind of early to tell for 2015.
Adam Samuelson – Goldman Sachs & Co.: Okay and that’s helpful. And then maybe switching gears, following-up on Farha’s question, obviously, your balance sheet is a great asset and in a great position; however, with the ownership of the foundation where it is, it kind of constrains you a little bit in your capital allocation. Can you talk about any perspective repurchases of shares from the foundation, or there would be any authority or interest in that regard to just give you a more balanced, more flexible capital allocation process?
Jody H. Feragen: Well, that would obviously be up to the foundation, if their interest is in selling any shares. We certainly do have authorization that would allow us to do any repurchases of shares. We made some small purchases during the quarter and we continue to assess what our expected uses for cash flow are and balance that with what kind of ROI we get on the investment and our internal stocks. So I’m not in control of what the foundation wants to do with their shares.
Adam Samuelson – Goldman Sachs & Co.: All right, fair enough, I’ll pass it on. Thanks very much.
Operator: The next question comes from Diane Geissler of CLSA. Please go ahead.
Diane R. Geissler – CLSA Americas LLC: Good morning.
Jeffrey M. Ettinger: Hi, Diane.
Diane R. Geissler – CLSA Americas LLC: I wanted to ask about the turkey business. Is there any way to quantify what you think the impact of some of these sort of, I guess, call them one-off really terrible winter in the propane prices spiking. I’m assuming that you had hedges in place, but that maybe you came under like a force Majeure, where your suppliers said that we don’t have it and therefore, you have to go on to the spot market, was that a factor? And then I guess you said 22 weeks, so should we assume it will impact your margins all the way into the first quarter of 2015, or do you think that it will be limited to 2014?
Jeffrey M. Ettinger: Well, on the propane side, yes, we did have some forward positions in place and yes, we did get impacted by force Majeure clauses, as they had pipeline issues and other issues this winter, so that was – that certainly exacerbated an already difficult situation when it came to just share market pricing, because we don’t forward by all of it clearly. so we did have to scramble and cover some of that on the open market. In terms of your second question on timing, 22 weeks, but the bite from the winter, really obviously, took place in the primary winter months kind of, December, January and February, even maybe a little March. So now, we don’t – we really don’t expect the impact from that to trail all the way into our fiscal 2015, in fact, even by the Q4, we should be in a better position when it comes to that impact.
Diane R. Geissler – CLSA Americas LLC: Can you quantify the propane impact, just in terms of if it had been delivered on a hedged basis, versus you buying in the spot market?
Jeffrey M. Ettinger: I really can’t give you that detail. I can give you that, just in terms of this overall for Jennie-O, we provided guidance at the beginning of the year that we really had expected and hoped that Jennie-O would be in a growth position really, frankly quarter-after-quarter in fiscal 2015, and you can see from the results that what’s happened is it’s been basically flat, where it’s not like we lost a lot of ground, they still have really solid operating margins, but as basically, propane is one of the deltas that have driven it from a good gain to flat. But there’s other ones such as the feed, not being quite as favorable as we thought that has been a factor as well.
Diane R. Geissler – CLSA Americas LLC: Okay. Can I just ask what you’ve actually communicated to your employees at the plant for furloughs like how long they should expect to be furloughed or has it ended?
Jeffrey M. Ettinger: Okay. so we just did that this morning. So we wanted to be on a consistent basis with public information, talking to them about an impact starting in June. We talked about being closed on Fridays within that plant, depending on the hog flow in a given week; there may be opportunities to make up some additional hours on the Monday through Thursday schedule. The summer in the past has sometimes been a time where people are looking to take vacation, or you have some scheduling differentials anyway. so what we’ve said is kind of indefinite. We certainly anticipate that it will certainly last at least a couple of months, but we’ll just kind of have to see on a rolling basis, as to when we think we have the numbers back to be in a position to restore that plant to full hours.
Diane R. Geissler – CLSA Americas LLC: Okay, thank you.
Operator: The next question comes from Eric Larson of C.L King. Please go ahead.
Eric J. Larson – C.L. King & Associates, Inc.: Good morning, everyone.
Jeffrey M. Ettinger: Hi Eric.
Eric J. Larson – C.L. King & Associates, Inc.: I have a very specific Jennie-O question, and it relates to your energy issues up there. I know there are a number of sort of natural gas pipeline projects going on in Wisconsin. and I don’t know if you’re anywhere close to any of those gas lines that you could potentially put the CapEx into, and convert your grow-up facilities from propane to natural gas. Is there any distinct possibility that something like that could happen where you wouldn’t then have to be so tied into specifically propane?
Jeffrey M. Ettinger: It’s a great question, Eric and indeed, the team is actively pursuing that. We actually were pursuing it even before the propane shortage, just because natural gas was looking attractive, obviously at a time before that. It’s a somewhat gradual conversion for us, just fairly in-depth process, we’re on kind of a maybe 20 farm a year schedule in order looking at a conversion in that regard. so there won’t be an immediate solution to anything, but definitely a good point there in terms of a better long-term position for those facilities. 
Eric J. Larson – C.L. King & Associates, Inc.: Okay, good. I’m glad to hear that you’re actually within striking distance, where you can actually do some conversions, which over the long run, it’s easier to hedge natural gas and everything else, and I think it would be a lot more reliable supply. The second follow-on question that I have, when you talk about the favorable turkey commodity markets, and I know that you have moved a tremendous amount of your volume away from those commodity markets into your further value add, is that still in general, can that be a significant swing factor quarter-to-quarter as to the performance of the commodity markets?
Jeffrey M. Ettinger: Yes, I mean it’s still relevant. I mean we certainly still sell a number of the dark meat items on a commodity basis, either in international marketplaces, or in some cases to other manufactures. so I don’t want to discount and pretend that that’s not a factor at all. It definitely can be a relatively big swing, but clearly the emphasis for Jennie-Our, the 75% to 80% of the portfolio are the value-added items and we’ve really taken pains to try to match up our overall production within the system to those value-added items. The fact that we were short weights this last quarter again, kind of dampened our ability to take advantage of those commodity markets on a more broad basis, because again, we needed to grab as many pounds as possible to make sure we were supporting the value-added items.
Eric J. Larson – C.L. King & Associates, Inc.: Okay. Thank you.
Operator: The next question comes from Sachin Shah of Albert Fried. Please go ahead.
Sachin Shah – Albert Fried & Co. LLC: Hi, good morning. I just want to talk to you about your kind of acquisition strategy. There has been kind of a lot of speculation out there, what companies you may be interested or not interested in, so maybe, you can just highlight, maybe in a summary of just your acquisition kind of strategy and what you guys are looking for to deploy capital.
Jeffrey M. Ettinger: I think Jody addressed that earlier. I mean we clearly have been active in the acquisition community over the last dozen years, completing over $2 billion worth of deals that have helped the growth of our company. We clearly are in a position, we have the financial wherewithal, and I think the team capabilities to do other deals in terms of general spaces, I mean you can get online this afternoon and watch the Bank of Montreal conference and we’ll have a slide in our deck that talks about different areas where we’ve made acquisitions in the past. But we really don’t provide any specificity about potential targets going forward and that’s something that the team keeps on a proprietary basis.
Sachin Shah – Albert Fried & Co. LLC: Okay. Any just maybe follow-up comment on the deal activity in the space right now, I’ve seen a few transactions already in 2014. So, just maybe some color on your thoughts on what that means for the sector, industry and use specifically.
Jeffrey M. Ettinger: Yes. I don’t know that I have a perspective that would be any better than an investor who is following the space. Clearly, there have been some deals announced recently. I’ve been in the shop now nine years and there has been an ebb and flow of deal during that whole timeframe, there’s fairly notable changes in the industry, I think that’s just part of what happens in modern business. But I guess I don’t have any specific perspective to offer you at this point.
Sachin Shah – Albert Fried & Co. LLC: Okay. Thank you very much.
Operator: (Operator Instructions) There are no further questions. Are there any other points you wish to raise?
Jana L. Haynes: No, thank you. I just want to thank everyone for joining us on the call today and we will be holding a webcast later of our presentation today at 4 P.M. Eastern. Thank you.